Operator: Good morning, ladies and gentlemen, and welcome to the Bombardier Fourth Quarter and Full Year 2021 Earnings Conference Call. Please be advised that this call is being recorded. At this time, I'd like to turn the discussion over to Mr. Francis Richer de La Fleche, Vice President, FP&A and Investor Relations for Bombardier. Please go ahead, Mr. Richer de La Fleche.
Francis Richer de La Fleche: Good morning, everyone, and welcome to Bombardier's earnings call for the fourth quarter and full year ended December 31, 2021. I wish to remind you that during the course of this call, we may make projections or other forward-looking statements regarding future events or the financial performance of the corporation. There are risks that actual events or results may differ materially from these statements. For additional information on forward-looking statements and underlying assumptions, please refer to the MD&A. I'm making this cautionary statement on behalf of each speaker on this call. With me today is our President and Chief Executive Officer, Éric Martel, and our Executive Vice President and Chief Financial Officer, Bart Demosky, to review our operations and financial results for the fourth quarter and year ended December 31, 2021. I will now turn the discussion over to Éric Martel
Éric Martel: [Operator Instructions] Good morning, everyone. And we're happy to have you join us today. 2021 was a strong start to Bombardier's repositioning around business aviation. It is a testament to the team's expertise, dedication to executing the plan and the driven mindset behind every individual at Bombardier. Bart and I are here to tell you how we are planning to grow in 2022, and it is exciting. But first, here are my reflection on our performance and key achievements in 2021. Execution was our motto this year. This approach was the key to our success. Our team executed to our plan at every level, and the plan help us stay focused on our priorities, while proactively managing supply chain pressure as well as restriction caused by the pandemic. Clearly, we have market tailwind, but we are proud to say that above all, we have the right approach, executed our plan and delivered. We delivered a fantastic year, and here are some highlights. We raised our guidance midway and then exceeded it. We introduced the Challenger 3500, the next generation of the market's best-selling super midsized jet within our committed CapEx envelope. Flight test and certification are on track for production cut in this year. The aircraft has also been a huge success on the sale front. It has significantly contributed to our team achieving the best order intake in the last eight years. Next, we continue to grow our service network in physical capacity as well as capabilities. We also delivered our 1,000th Global and progress through our learning curve on the Global 7500 jet to make it a margin contributor, turning now the word, an accelerator. Our Global aircraft also notched a win in the specialized aircraft sphere, securing a six aircraft order with the United States Air Force BACN program. This underscores the solid effort we are making to diversify towards defense solution and leverage our operation in Wichita, Kansas to grow this business with in house capabilities. On a financial front, we cleared the debt maturity runway as we committed and materially reduced our interest expenses. We identified and implement efficiencies. And welcome back David Murray, who is moving the Operational Excellence program to its next phase. Finally, we outlined clear and achievable ESG goals, our employees, stakeholders and partners can be proud of. I believe the word to describe 2021 are planning, execution and prudence. And for me personally, as the CEO of this great company that is turning 80 this year, pride. We closed the year with $12.2 billion of backlog. This is a significant increase of $1.5 billion. It comes from a solid unit book-to-bill ratio of more than 1.5 for the full year. Overall, our backlog is now bigger and more balanced. In the midterm, we see a healthy product mix and healthy pricing, two very fundamental elements to maintain predictability and resilience for our business. Our teams can focus on the right deals, and we are largely sold out for 2022 already. As prudence is serving us well, we are applying the same mindset to the production rate. We will continue to take into account three factors: backlog, pricing and supply chain and won't pressure one in favor of another. That said, we do remain flexible. This year's guidance to deliver more than 120 jet reflects well planned increases, mostly on our Challenger product line. These extra jets will also see us replace volumes we saw coming through the light jet category in 2021 and come with a more profitable contribution. We see stability in the large segment as it continues to demonstrate resilience to fluctuation. Long term, we will ensure we are growing responsibly. We will leverage all efficiencies we have worked on to date to maintain a solid cost structure. That said, we are positioning ourselves to accelerate deliveries by another 15% to 20% as soon as 2023, while maintaining a sharp focus on balance - balancing longer-term production increase with the actual pricing environment. Now coming back to the Global 7500 learning curve, I am delighted to confirm that we have reached steady-state production. We delivered 39 of these industry-leading jets. Like I mentioned before, we are entering a phase where the product is becoming a margin accelerator and is exactly in line with where we were planning to be. The aircraft's performance is simply exceptional, and I'd like to thank the teams for their huge efforts on that front. It has positioned us for a smooth transition of manufacturing operations from Downsview to Mississauga once construction is complete. We are very excited to make the move to the new state-of-the-art facility. It will further optimize operational efficiency, as well as our environmental footprint. We grew our top line revenue 7% year-over-year to $6 billion for 2021. Most notably, with business aviation flight hours trending up, our service revenue stream followed suit, up 25% and contributing $1.2 billion to our total revenue. As I mentioned before, the business aviation market has firmed up. Low used aircraft inventory remains, and flight hours have surpassed pre-pandemic levels. Services are absolutely key to our growth and our success. We are continuing our expansion, and keeping the services growth curve steadily trending upward and in line with our 2025 objectives. This year, we plan to inaugurate significant expansion in Singapore, Australia, the UK and the US. We are where our customers are flying and where they need us to be. Our international network and programs are well placed to be a key revenue driver long term. Turning to free cash flow. 2021 was a standout year overall. We ended $100 million cash positive from continuing operation, well ahead of where we wanted to be. Overall, our cash profile has greatly improved, and we are guiding a greater than $50 million of positive free cash flow in 2022. We are pleased that all factors have converged to significantly improve our profitability. Our solid internal and execution helped us post a 220% improvement in adjusted EBITDA year-over-year. 2021 saw us reach $640 million in adjusted EBITDA, and 2022 will continue the trend upward as we are implementing further initiative in our recurring cost saving plan. We have made significant progress across the initiatives we identified for this year, which are essential to reaching our 2025 objective. Looking at the jump we made from '21 to '22, we have successfully built the right fundamentals. We essentially expect to grow our EBITDA 29% year-over-year, and we are well positioned to tap into free cash flow upside as we progress through the plan. Bart will detail how this all factors into our plan and overall position. But we will also be delighted to share more long-term view during our February 24 Investor Day. Before I pass the floor to Bart, I would like to once again thank all Bombardier team members for their effort in executing our plan, serving our customer and keeping focused on delivering value to our shareholders. We continue to be very vigilant on health and safety in every region we operate, and appreciate everyone's buy-in [ph] to keeping their fellow colleague safe for those who cannot work remotely. We have set a solid foundation for Bombardier's future. I believe that each person listening to this call, whether an analyst, journalist, employee or investor, can be extremely proud of Bombardier's performance, our product, the company's commitment to ESG and our contribution to R&D that will make our skies and industry even more sustainable. With that, I'll turn the call over to Bart.
Bart Demosky: Thank you, Éric. And good morning, everyone. 2021 was the starting point of our journey to build a stronger, more profitable, more resilient and materially delevered business. To that end, I am very pleased with what we have achieved so far. We progressed on our strategic priorities, demonstrated solid operational execution and stayed disciplined in a very dynamic business aviation market. As a result of this, we have exceeded our 2021 revised guidance on revenues, profitability and free cash flow. Before talking about the year ahead, I'd like to address our 2021 performance, starting with achievements on our four strategic priorities. First, on the Global 7500 learning curve, we have turned a negative EBITDA contributor in 2020 into a positive and accretive EBITDA contributor in '21. Program margins have improved each quarter this year and with only a few aircraft remaining before our 100th delivery, we can comfortably say that in the first half of this year, we will achieve the targeted 20% unit cost reduction between the 50th and 100th aircraft. Second, we delivered approximately $135 million in cost savings last year, 35% more than the $100 million included in our original guidance for the year. As we enter 2022, all of the actions required to reach $250 million of savings have already been taken, and we are progressing to plan on delivering $400 million annual recurring savings by 2023. Third, our aftermarket business recovered well in '21, supported by fleet flight hours, which equaled 2019 levels for the full year. Our Q4 '21 revenues of $363 million are 44% higher than Q4 2020 and 17% higher than Q4 of 2019. This puts our aftermarket business on the right trajectory to reach our $2 billion revenue target by 2025. The year 2022 will have several important milestones as our footprint rapidly grows with new facilities coming into service and as we continue expanding our service offering. Finally, we have made significant progress over the past year to delever our business and improve our debt maturity profile. In '21, we reduced our total debt by approximately $3 billion. The average term to maturity of our bonds has increased from 3 to 5 years, and we have been able to reduce annual interest charges by more than $225 million compared to the prior year. Looking forward, we will continue to be opportunistic in the debt capital markets with regards to paydown and refinancing. With approximately $2.1 billion of adjusted liquidity at our disposal heading into this year, we are well positioned to continue making progress on our deleveraging plans. On February 1st of this year, we issued a press release that certain bondholders of our 2034 notes are alleging that the company is in breach of certain covenants under the 2034 indenture. We believe that this claim is without merit, and Bombardier intends to vigorously defend itself against these claims. It is important to note that the complaint has no impact on our operations. We believe firmly we have acted in the best interest of our bondholders, and many of them have already expressed their support. We are moving ahead with our strategic priority to grow our company, build a more resilient and have never been in a better position to service and reduce our debt going forward. So let me speak now about our results for a moment. Looking specifically at Q4, the most notable change versus 2020 is in free cash flow, where we improved by a full $2 billion. We had a stellar performance to finish the year with positive cash flow generation of $332 million in the fourth quarter, translating to $100 million of full year free cash flow generation, including approximately $165 million of nonrecurring costs. Turning to our full year results. We ended the year with revenues of $6.1 billion, resulting from 120 aircraft deliveries and $1.2 billion in aftermarket revenues. This represents a year-over-year improvement of 7% when adjusting for the impact from the divestitures we made in Commercial Aviation and Aerostructures. Our 2021 business aircraft manufacturing revenue grew as a result of six incremental deliveries and better mix. Large cabin aircraft accounted for a higher content of deliveries, going from 59 in 2020 to 66 in 2021, including 39 Global 7500s. For our aftermarket business, full year revenues increased by 25% versus the prior year as flight hours increased and activity ramped up across our network. The rise in flight hours was very significant with the month of January being approximately 20% lower than pre-COVID levels followed by an impressive ramp up during the year to reach approximately 20% higher than pre-COVID levels in the month of December. We were able to rapidly adjust to the demand and capture a maximum of revenues in that recovery. The last 2 years of COVID have shown the resilience of our aftermarket business, which has demonstrated its flexibility by adjusting to large variations of demand while preserving a high level of profitability. The run rate of the business in Q4 at $363 million shows we are well on our way to reaching our $2 billion goal of annual aftermarket revenues by 2025. As I've been reporting all year, divestitures in Aerostructures and Commercial Aviation did result in negative year-over-year revenue impact of $805 million. Now looking at revenues. We delivered 6 fewer aircraft resulting in our revenues being down as compared to those for the same period last year primarily due to fewer Global 7500 deliveries. However, this was expected as we have come down our learning curves and our production line is now more mature, resulting in a more even distribution of Global 7500 aircraft deliveries throughout the year. Moving to profit. Total adjusted EBITDA for the year was $640 million, representing an EBITDA margin of 10.5%. This is a 220% improvement year-on-year, meaningfully expanding from our 2020 EBITDA of $200 million. Adjusted EBIT was $223 million for an EBIT margin of 3.7%. The main drivers of our margin expansion were a favorable aircraft mix, higher aftermarket content and strong performance on our operating costs. More specifically, improvements in the maturing of the Global 7500 learning curve, as well as delivering on our cost reduction plans. In Q4, working capital was a key driver of performance. We further increased and diversified our backlog, which now stands at $12.2 billion. Our Q4 unit book-to-bill reached approximately 1.6 times. This helped customer payment levels increased by $434 million versus the third quarter. Our inventory also trended favorably in the fourth quarter, decreasing by $187 million largely as a result of increased deliveries. Finally, for three consecutive quarters now, we have generated positive free cash flow. As we continue to build earnings, reduce interest costs, maintain a strong backlog and manage our working capital, it is clear that we have meaningful cash generation potential ahead of us, including building in capital allocation flexibility. Now let me turn to our '22 guidance. Looking ahead, we are confident in our guidance as we step into the year. Operationally, our priority will be to responsibly manage our backlog, balancing aircraft demand and production rates and keeping a focus on having the right length of backlog on each platform. This is the key to building predictability and resilience into our business. We expect aircraft deliveries will be a bit over 120, including the final 3 Learjet aircraft. This puts our year-over-year production increase include - excluding Learjet, sorry, in the high single digits. In terms of mix, we expect the large segment to be relatively flat and see an increase in deliveries in the medium segment. Revenues are expected to grow to greater than $6.5 billion, representing an approximately 7% year-over-year improvement. The more than $400 million increase versus '21 is equally attributable to favorable aircraft mix and continued growth of our aftermarket business. From an earnings standpoint, we expect that our EBITDA will continue to grow, going from $640 million in '21 to more than $825 million in '22, representing a 29% increase or greater. We also expect adjusted EBIT to be greater than $375 million, and this is largely attributable to three main drivers. First, we will benefit from margin conversion on the incremental revenues versus last year. In these margins, we have factored in favorable year-over-year pricing on new aircraft, all of which is secured through our backlog. However, this benefit will be offset by cost increases we are seeing in our supply chain as 2022 escalation formulas come into effect. We have also factored the unfavorable impacts from curtailment of eligible support programs as well as foreign exchange headwinds with regards to the Canadian dollar, which is approximately $0.03 stronger relative to the US dollar in '21, including our hedges. Second is the benefit from the Global 7500 learning curve, bringing margin expansion on similar delivery volumes. Finally, we will continue to progress on our cost reduction initiatives. We delivered approximately $135 million of savings last year, and those savings will increase to $250 million this year. With regards to free cash flow, we plan to deliver more than $50 million of positive free cash flow, including non-recurring costs related to legacy RBG [ph] liabilities estimated at approximately $50 million for the year. To achieve this, we will remain responsible with our investment envelope, targeting between $200 million and $300 million of CapEx. We also expect working capital to be neutral as we continue to capture our share of orders in a constructive market, offset by an increase in inventories to support 2023 delivery increases. Interest costs will remain an important use of cash flows in the year, though they will be materially reduced versus '21. So let me wrap up by providing some color on our first quarter of this year. Continuing to build on the solid work we did in '21, we expect EBITDA margins in the first quarter to improve versus the same quarter last year. Aircraft delivery should be around 20 units as we prepare to transition our production over to the Challenger 3500 later this year. We expect to see free cash flow usage in Q1, but our performance will meaningfully improve versus last year as we benefit from lower interest payments and fewer recurring costs. To conclude, we have achieved a great deal in '21 and are confident in maintaining our strong performance into 2022. The longer term we plan - shared at last year's Investor Day remains on track as we continue to focus on becoming a more profitable and predictable business aviation company. I look forward to sharing more with you at our February 24 Virtual Investor Day about our progress towards our 2025 objectives. Thank you very much. With that, I'll turn it back over to Francis to begin the Q&A.
Francis Richer de La Fleche: All right. Thanks, Bart. I'd like to remind everyone that the IR team will be available following the call in the coming days to answer any questions you may have. And with that, we'll open it up for questions. Operator, ready for your first question.
Operator: Thank you. [Operator Instructions] Our first question is from Fadi Chamoun from BMO Capital Markets. Please go ahead.
Fadi Chamoun: Yes. Good morning, Maybe Bart, if you can give us an idea about what are you expecting in terms of contribution from the cost saving program in 2022?
Bart Demosky: Yeah. Fadi, good morning. And great question. We've made significant progress on our cost reduction plans. I mentioned on the call that we had originally planned to achieve $100 million of full cost savings. This is full EBITDA cost savings in '21, and we actually achieved $135 million. Our total goal of $400 million, we are absolutely on track towards achieving by 2023. And in 2022, we have already taken all of the actions necessary to achieve a full $250 million of cost savings during the year. We'll give a little bit more color on that on Investor Day coming up as well, Fadi. And thank you very much for the question.
Fadi Chamoun: Okay. And maybe if I can squeeze in one follow-up, on the production rate increases going into 2023 and I guess this year, I'm guessing this is weighted kind of H2 of 2022, some of the increase in the Challenger. But can you give us some kind of some color about how are you seeing kind of visibility into the supply chain to ramping up that production? Are there any issues or concern that you have at this stage as you try to lift those rates up in the next couple of years?
Éric Martel: So this is a pretty good question, Fadi, good morning. As I said earlier in my script, I think I've mentioned that we are going to balance our decision between pricing, backlog and supply chain. And none of these is more important than the other. They are all important because we want them to stay in line with our plan. But clearly, you know, the supply chain, I think everybody is reading the news. There is a lot of stress in the supply chain, a lot of recovery that is taking place or trying to. And I mentioned before, we've been extremely fortunate at Bombardier, we were very proactive more than a year ago in deploying extra resources in the field to make sure that we work on the issue as early as possible and minimizing the impact on our assembly line. So we've been able to do that. I think you will probably recall that in Q4, we've mentioned that we were adding even extra people, again, redeploying them in some area where there is a bit of tension, so this has been done. Our decision on increasing the rate has been made in looking very diligently to the - to this issue. So there is issue out there. We believe right now that the action we've put in place are paying off. There'll probably be a new issue coming up, but we are trying to see them as early as possible. So this has been taking into account in, of course, our rate to make our rate increase decision. So we feel pretty good about our 2022 guidance. We feel pretty good also being able to say that we are going to increase our rate by 15% to 20% going into next year. So I'll - just to say that we're managing this proactively, and it's been factored in our decision.
Fadi Chamoun: Okay, thank you. And congratulations on a good year.
Éric Martel: Thank you.
Bart Demosky: Thank you.
Operator: Thank you. Our following question is from Walter Spracklin from RBC Capital Markets. Please go ahead.
Walter Spracklin: Yeah. Thanks so much, operator. Good morning, everyone.
Éric Martel: Good morning.
Walter Spracklin: So maybe we'll start with free cash flow. I noticed your CapEx is trending up a little bit here in the $200 million to $300 million range and free cash flow, which was excellent in 2021, little bit muted, at least in preliminary guidance here in 2022, noted that you do have some onetime payments here coming up. But I'm wondering if in that CapEx envelope, is there any anything put toward any potential new initiatives? Or perhaps give us a little bit of color around the programs that are going to be built into that CapEx for this year?
Bart Demosky: Yeah. Good morning, Walter. And thanks for the questions. It's Bart here. The - our CapEx in '21 ended up at $232 million, which is pretty much in line with our prior guidance of around $200 million, plus or minus, very, very close to that. Guidance does include - is net of some planned land sales, which do have timing uncertainties. So that's why we've changed the range to $200 million to $300 million. So it's not a reflection of a big ramp-up in spending. It's more just a reflection of timing of certain items. Pearson in - the Pearson project in 2022 is the most significant CapEx expenditure for us. It's in full development right now and absolutely on track for completion at its - at the right timing. We will obviously remain very tightly managed as it comes to CapEx going forward and focused on deploying cash to debt repayments first. The $50 million, as you highlighted, is definitely positive. But consistent with our practice beginning when we came out with our first numbers at our Investor Day last year, we are being conservative. You should expect to continue to see that from us. And we do expect to continue to deliver positive free cash flow going forward.
Walter Spracklin: That's fantastic. Thank you, Bart. And perhaps, Éric, one for you on a broader strategic level. Clearly, you are benefiting from what is outsized demand stemming from COVID-19 in terms of demand for business jet aircraft. The question is, obviously, whether this is temporary or is it structural? If it does turn out to be structural and you see an elevated level of demand for a longer than expected period of time, my question is, what avenue would you use to capitalize on that improvement? Would it be that you would just raise pricing? Would you raise line rates on existing products? Or could you start to revisit some of the products or new product lines that perhaps that you left before, particularly on the smaller aircraft side?
Éric Martel: Yes. No, I think one thing, Walter, is that we are extremely clear here, and we made that decision very consciously last year that we wanted to be focused on the medium and large segment. So there is no - nothing today, even if there's a more structural in the midterm forms of what we see right now as an increase, which is quite possible that it's more structural than just kind of a one-timer. But we do strongly believe here that the medium and the large segment do represent 85% to 90% of the dollars in this industry. We do believe that we have the right product portfolio in both where our Global and our Challenger competing in the medium and large segment. We do believe also, which was important to us when we made that decision about the resilience of the global market. So yes, we are in a good time, but there could be different things happening in the world that we have no control over, wars, things like that, and when those things happen, there is an impact. But we know and history shows that the large market is extremely resilient. We know that the aftermarket business is also much more resilient. And we know that the Challenger is the one that can see some movement, but not as much as the light. The light has always been the one that was the most impacted by any downturn in the economy. So we feel pretty solid about this decision. And again, when we - if it's more being structural in terms of a new environment and we foresee this kind of volume for future years too, first of all, we have the capability at Bombardier to even go further. We have capacity available. And at the same time, it's going to be always a question of balancing, as I said earlier, that's the equation we're working with, pricing versus backlog versus supply chain capabilities. Supply chain capability, we're going to a bit of a struggle worldwide right now, everybody together. But as I said earlier, we at Bombardier are in a fairly good place there. But it's going to be a question that if we feel it's structural and that we can keep some pricing then we'll balance that equation again. But we do feel pretty solid about our decision of being focused on the medium and large segment.
Walter Spracklin: That's fantastic. I really like that answer, Éric. Thank you very much. Great quarter.
Éric Martel: Thank you, Walter.
Operator: Thank you. Our following question is from Tim James from TD Securities. Please go ahead.
Tim James: Okay. Thank you. Good morning, everyone. I'm just wondering if you could talk about the mix dynamic that you're looking at in terms of deliveries for 2022. You mentioned the large cabin staying relatively flat, the growth coming primarily from the medium sized jets. Could you talk about what you're seeing in the marketplace that sort of drives greater growth in medium relative to the large cabin?
Éric Martel: I think it's been interesting. You realize that the reaction time from an OEM is a bit longer on the larger cabin. So we do foresee a very high level of activity also. I think you also realize that the first one that we saw last year starting to increase was our medium segment, mainly on our Challenger 3500, but also on the Challenger 650, which we've reacted somehow last year, which explain that we're talking about increasing this year, the number of Challenger being delivered. But there has been a pretty strong level of activity also on the large cabin. Again, the lead time to react to that is a little bit longer. And that's why you don't have an immediate impact, but we are definitely thinking that there'll be a bit of a mix on our number of airplane and product mix increase between large and medium in 2023.
Tim James: Thank you. That's helpful. And then just to clarify, so you don't - it's not that if I'm reading you correctly or understanding things correctly, you don't see sort of a structural difference in the growth rates for the next couple of years. It's more just kind of what you've seen in terms of orders last year and sort of a timing, production timing issue?
Éric Martel: We've seen, as I said earlier that this is the large segment is a bit more resilient. In good times and bad times, it stays pretty much the same. But we've seen good level - a very strong level of activity on the large. What I'm saying is it takes a little bit more time also for us in the supply chain to adjust. So we're going to, again, look at our pricing, at our supply chain, but also at our backlog. And we could potentially also definitely look at increasing if there is a structural here improvement in this market.
Tim James: Okay. Thank you. Then my second question, the margin performance in the fourth quarter was actually - was quite strong. And in particular, when we think about all the supply chain impacts and inflation and various other developments that I would have thought were impacting your business, was there a material impact? Again, could the margin profile have actually been even better were it not for that in the fourth quarter?
Éric Martel: I think you know what you see in the fourth quarter, first, the number of aircraft was fairly strong. But also, I think we're making progress on our learning curve, the 7500. I think we are - we said and we're going to give you more detail at Investor Day on February 24, but we are achieving our targets. So we've been reducing the learning curve on the 7500. And the 7500 became margin contributor in the fourth quarter. So that was one. The other aspect also is we - you know that we have a cost reduction program to reduce $400 million of cost. So as we are progressing towards, there is more contribution also from those elements. So it's a bit of a combination of many things, but mainly, I would say driven by the 7500 learning curve is a big one and the cost saving initiatives progressing.
Tim James: Okay, great. Congratulations.
Bart Demosky: Tim, if I could just add one thing to Éric's comments. We also had a record quarter for our aftermarket, which bodes very, very well for our achievement towards $2 billion of revenue from that business by 2025. And that business drives very high margins, and it's been able to keep those margins through what's been quite a rise in demand throughout the year, so a very strong performance there.
Tim James: Great. Thanks very much.
Bart Demosky: Thank you.
Operator: Thank you. Our following question is from Benoit Poirier from Desjardins Capital Markets. Please go ahead.
Benoit Poirier: Yes. Good morning, everyone and congrats for the strong finish.
Éric Martel: Thanks, Benoit.
Benoit Poirier: Could you talk about the opportunity to raise production beyond the 15%, 20% growth expected in 2023? And how accretive is the volume increase on the EBITDA margin?
Éric Martel: Okay. So let me maybe start answering, and maybe Bart can also chip in. So I think we're talking about a 15% to 20% next year, next year being 2023. In terms of capability, Benoit, that we have capacity to even go further if needed. Again, we'll make that decision if there's a structural real adjustment because of the environment that's been created and accelerated by the pandemic. If there is a structural that it's not for only 1 year or 2 years, we'll look and we'll consider that. And again, we have capability to do that. The main EBITDA driver will remain our strategic priority. We have a clear view on how we will achieve our $1.5 billion by 2025, which is going to be a mix of cost reduction, improving our learning curve, but also pricing down the road on the 7500 and of course, the contribution, the more significant contribution of our aftermarket business, which is going to grow significantly, so all these will be contributing. Today, you know, yes, we will have. So we're probably a bit ahead of where we wanted to be. But there's still a lot of time between now and 2025, and a lot of things that could happen. We look at the world today, all kind of uncertainty, not to mention Ukraine and a few other things. So all this factored in, we are still feeling pretty solid and bullish about our 2025 commitment but can we do if then the market is able to sustain rate increase, then we'll have to make decisions and understand how this will contribute. So we don't need to make this decision yet. But of course, I'm sure, as you know, we're closely monitoring what's happening.
Benoit Poirier: Okay. That's great color. And just in terms of follow-up with respect to the $50 million free cash flow guidance in 2022, could you walk us through the assumption in terms of book-to-bill ratio and also maybe the working capital required to support the 15%, 20% lift in production for 2023?
Éric Martel: Maybe one thing just to take upfront, our assumption is a book-to-bill of around 1.1 right now, okay, so for the full year. We could potentially do better than that. But as I said, there's geopolitical tension in a few area right now, which can also slow down some of it. So - but that's kind of the assumption we've been working with so far.
Bart Demosky: Yes. And Benoit, just on the working capital, we achieved basically neutrality this year on working capital, and we expect that to continue through this year as order intake offsets some inventory increase requirements for 2023 production and increases.
Benoit Poirier: That's great color. Thanks for the time.
Éric Martel: Yeah. Sure, Benoit.
Bart Demosky: Thank you, Benoit.
Operator: Thank you. Our following question is from Myles Walton from UBS. Please go ahead.
Myles Walton: Thanks. Good morning. I was wondering if you could talk to the demographics in the order book, how those changed year-on-year and maybe look through the lens of first-time buyers, what's the role of multinationals or global companies in that mix? Just as you're looking at the data, how are you looking at that customer data set to determine if this is sustainable, foundational or not?
Éric Martel: Yes. So a very good question. We have clearly seen last year in 2025 a strong order booking coming from North America. And we'll share some of the details of that with you at Investor Day on the 24th actually, the geographic distribution, but think about in the 70% mark-ish. It was slow in the rest of the world in Q1 and Q2 last year, but we've seen a major pickup in Q3 and Q4 in Europe and I will call it EMEA in Russia. So we've seen some pickup taking place in the last - in the second half of the year. And Asia has been pretty slow last year for pretty much all of us in terms of flying, but in terms of activity also. So that's the picture we have. Going into this year, it looks - North America, Europe, EMEA remained pretty strong going into this quarter. And still about - there is activity in Asia, but clearly because of the pandemic and the restriction and a lot of things going on over there, it's a little slower. So it hasn't catch up pre-pandemic level, same thing for the flying hours. So that's a little bit how we see that. So which means that there will be when border -- we believe that when border reopen in Asia, there will clearly be a bit of catch-up to do and probably some nice opportunity coming from this region. But clearly, North America has been fueling it so far. In terms of your question about the type of customer, this one also we'll go into more detail on February 24. But just to say briefly that we got about, call it, 20% from fleet operator last year, which is mainly driven by newcomers, new people adapting. So some people are buying new airplanes, of course, for the first time, which is a higher percentage than usual. But clearly, and as you know, Bombardier is extremely well positioned with the big fleet operator around the world. And we've seen a nice pickup because a lot of people have knock [ph] at their door using private aviation for the first time, and they are sticking in. So that's the good news also. It looks like they are continuing to use these platforms. So clearly, it's been a robust market for the fleet operator, and they're probably the first one that I've seen a major increase by first and early adopter.
Myles Walton: Okay. That's great, color. Thank you.
Éric Martel: Thank you, sir.
Operator: Thank you. Our following question is from Cameron Doerksen from National Bank Financial. Please go ahead.
Cameron Doerksen: Yeah, thanks. Good morning. Maybe just a couple of questions on margins, just on the Global 7500, I mean, you indicated that you'll basically achieve that 20% cost reduction sometime in mid-2022. Do you have any, I guess, estimate as to when you'll kind of be at a, I guess, a full run rate margin on that program? Is it 2023 or is it something beyond that where we would expect to see kind of the full expected margins on Global 7500?
Bart Demosky: Yeah. Good morning, Cam. It's Bart here, and thank you for the question. Yeah, we continued on the learning curve right on track through 2021, achieved the vast majority of that incremental 20% that we spoke about. And in terms of achieving the full 20% incremental cost reduction, we're actually planning to deliver the 100th aircraft we said in the first half, but I'll call it midway through the first half of the year, and that's when we targeted to get to the 20% full run rate. So it will be earlier in the year than midyear. So that's a plus in terms of margin expansion for us. There is a little bit more to do in 2022 beyond that. We think we have some other opportunities that we'll continue to work on. And we'll be at the full run rate by end of this year and into 2023.
Cameron Doerksen: Okay. No, that's helpful. And just sort of secondly on margins. I mean, the aftermarket is obviously a key contributor to your 2025 EBITDA target. Are the margins you're achieving in that business today basically at the level you would expect in 2025? Or is there more upside presumably, perhaps as you open up more of these centers, which maybe in the early days are underutilized and maybe a little bit of a margin drag. I'm just kind of trying to get a concept of where we are on aftermarket margins today versus where they could be.
Éric Martel: Yeah. I think, Cameron, the margin are extremely good right now in terms of percentage of sales. I think the margin contribution increase will come up more from the growth we're going to see in that market. So - but we are expecting to maintain the actual percentage of margin that we are foreseeing. So our assumption is percentage pretty much remain the same. But as you know, that market is growing. Airplanes are flying a lot. And as we -- as I said earlier, as we put more airplanes with the fleet operator, these operators are also flying much more hours, so which is good for our growth and potential growth moving forward.
Cameron Doerksen: Okay, great. Thanks very much.
Éric Martel: Thank you.
Operator: Thank you. Our following question is from Stephen Trent from Citigroup. Please go ahead.
Stephen Trent: Good morning. And thank you very much for taking my question. This is kind of a follow-up to, I believe, what Myles asked you earlier. And I know you're going to give a little more detail on it, but what do we think about sort of longer-term new opportunities for medium and large cabin business jets? 20 years ago, people may have just looked at North America corporate profits and said, okay, that's the parameter. And now you kind of have jets on demand, fractional ownership, some government customers out there. Are there kind of one or two pockets that you think we could see more return customer flow over the next several years? Just a very high-level question on that one.
Éric Martel: But I think - thanks for your question, Stephen. But as mentioned earlier, we do believe that we are in the market that represent the bulk of the industry. Yes, there'll be a light market. There'll probably be a new customer and potential growth in that market. But it's - in our mind, it's a less lucrative market. It's also a market that is much more cyclical probably than any other part of our industry. So for all those reasons, despite the fact that there'll be a market, we're not ignoring this. We made the preference and the decision of competing in the medium, large and also growing our services business.
Stephen Trent: Very helpful, Éric. And just one super quick follow-up. When we think about your engineering expertise, high level, how comfortable are you guys with your pipeline of aerospace engineers and generally speaking, compensation for them? And what sort of cost pressure may you be seeing on that side of the fence?
Éric Martel: No. This is a pretty good question. This is a question that we ask ourselves all the time. But we have a very loyal base of employees at Bombardier. Same thing applies to our engineers. So our capability here, either in Montreal or in Wichita, are fairly unique. We can design and build an airplane here from A to Z. And I think our people know that eventually, we have a program today that we're working on. We just launched the 3500 last year. There is other things we're thinking about on a more medium and longer term. And I think we're keeping our workforce extremely busy right now. We know that this industry is driven, also booking orders driven by new technology improvement on product at some point. So we're very mindful of that. So we're having a pretty solid workforce here, and people are staying with us because they see the future. They see our company has made major improvement also last year. And I think people are very motivated by this environment, this new environment at Bombardier.
Stephen Trent: Okay. I really appreciate that and looking forward to hearing more from you guys on February 24. Thank you.
Éric Martel: Thank you.
Bart Demosky: Thank you, Stephen.
Operator: Thank you. The following question is from Seth Seifman from JPMorgan. Please go ahead.
Seth Seifman: Okay. Thanks very much. Good morning. And congratulations on a good year. Just wanted to ask about the expected production increase that you talked about for 2023. When you think about the market, it sounds like -- and correct me if I'm wrong, but it sounds like because it takes a little longer to get things ramped on the larger aircraft that more of that production increase would be concentrated in the larger aircraft, and you think about the increases that Gulfstream has talked about and the new aircraft that Dessau is going to be introducing, I guess, how do you think about the demand in that overall market? And given what should be coming into that market, is it kind of going to be necessary at this point to see that structural increase just to accommodate the increased production numbers from everyone?
Éric Martel: Yeah. No, this is a good question. And that's the question we're asking ourselves on a regular basis. Again, not to repeat myself, but we'll look at backlog pricing and everything. But also, of course, we're considering what our competitors are doing. But I think what's important to remind everybody is that we have a very, very, very competitive portfolio today. Our 3500 has been -- has done outstanding. Our 7500 is going outstanding. Our Global, we delivered the 1000th Global a few months ago, and we do continue to sell extremely well the Global 6500 and 5500. So the 7500 is the flagship of the industry. I think competitors are trying to catch up the in-service fleet performance for the 7500. Yes, it's going to face the competition. But the fleet is performing extremely well. I think we offered the finest cabin experience. The performance is unmatched right now in terms of range, in terms of speed. And other programs are still very early in the design phase. And other competitor, other new airplanes that got announced a few months ago are derivative of an existing plane, not really adding anything. So we feel very strong. The portfolio we have today is robust, solid. All our airplanes have demonstrated their strong reliability. And as you know, we're always innovating in the cabin, which is a very important part -- important piece for our customer.
Seth Seifman: Great. Thank you. And then, Bart, if I could sneak in two clarifications or follow-up questions. I guess one is, can you break out in the services business how much is parts versus how much is kind of MRO and services? And how much those grew? And then can you tell us how far out you're sold on the 7500?
Bart Demosky: Sure. Sure, Seth. Thanks. So look, the first thing that I think everybody probably recognizes about our aftermarket business is it's a highly repeat business and a very highly recurring revenue stream. So we really like the business and like the growth that's coming in front of us. That's driven off the fact that we've got almost 5,000 aircraft in service today. Our facilities that we have up and running today are essentially full at all times. And that's why we need to bring on more capacity in more geographies around the world. So we'd expect the same in those new locations as well. In terms of the split, roughly 80% calendar- and flight-driven maintenance is the largest part. And then we have about 20% discretionary on modifications and other upgrades to aircraft. So that hopefully gives you a split. The second question was on the 7500. And I - sorry, Seth, I didn't quite catch it.
Seth Seifman: How far out are you sold in terms of the backlog?
Bart Demosky: How far out on backlog?
Seth Seifman: Yes.
Bart Demosky: We've talked about this a little bit in the past, I know, but there's a balance that we like to sustain on backlog between having a good, solid significant backlog and not having a backlog that goes so far out that it reduces demand for aircraft sales because customers are having to wait too long. It's driven in part by the production time lines of the aircraft. But as we sit today, we're very comfortable with the backlog that we have on the 7500. We worked it down, as you know, over several years as we were delivering the launch orders of the aircraft. And today, we're seeing strong demand, ongoing sales and a backlog that fits very, very well with where we'd like to be.
Éric Martel: And I think as we said earlier, we're pretty much sold out in '22. And we have - we're in a very, very good place already for '23. So things have progressed extremely well in the last couple of quarters. We have to time to squeeze in one last question please.
Operator: Thank you. Our last question is from Konark Gupta from Scotia Capital. Please go ahead.
Konark Gupta: Thanks. And good morning, everyone. Thanks for squeezing me in here. I think like Bart and like - I think being a few questions on free cash flow. I want to kind of ask you differently because I'm still kind of trying to make sense of the guidance here. What's keeping you from guiding similar or better free cash flow conversion in 2022? Like I understand, obviously, you have been prudent, but how much are you prudent and why?
Éric Martel: I think I can start, and maybe, Bart, feel free to chip in. But I have mentioned earlier that we were prudent on our book-to-bill ratio. That's one thing. And at the same time, as you accelerate, you realize that you're building also inventory part of it. So there's some of the cash flow that is being used to pay off for the inventory we're building. So there is some of it also that is being baked into the plan.
Bart Demosky: Éric, I think you've hit the nail on the head. That's the key. And then the last thing I would just say, Konark, is we will continue to be conservative in our estimates as we go forward. It's very important to understand that.
Konark Gupta: That makes sense. And then perhaps a quick follow-up on production rates. So you guys pointed out like 2022 is going to be slightly perhaps -- it's more of a 2023 story if you have to raise production rates. Is there a -- like given the backlog and the order activity you saw in 2021, obviously, it's pretty robust, I'm guessing there must be some orders for demand for 2022 deliveries. But is there anything you are doing in terms of internationally kind of pushing out some deliveries into 2023 just to kind of smoothen out the production rate curve and the supply chain kind of ramp-up issues you talked about? Or is there something else to that production rate curve?
Éric Martel: So as I explained, it's a question that we saw clearly last year that demand was very strong. But then by the time you see the demand, you want to observe it a few months, a few quarters. Then by the time you make the decision, there's a moment where you will really see the increase coming out of your factory. So this is the factor of that. So clearly, we're going to see some of it starting to happen in 2022. And we're going to see the bulk of those decisions made in '21, late in '21 starting to show up in 2022. So thanks, Konark, for your question.
Konark Gupta: Okay, thank you. See you on 24th.
Éric Martel: Thank you.
Operator: That's all the time we have for questions. I would now like to turn the meeting back over to Éric Martel. Okay. Thank you again, everyone, for joining us this morning, and I would once again like to start - state how proud I am of our team's ability to execute our plan on all fronts. It has been an amazing start for Bombardier business jet refocusing. I am looking forward to seeing you all throughout the year as well we'll be circling the globe to inaugurate our new and expanded facility. I can't remember any OEM hosting so many ribbon cutting in a single year. This, once again, also highlight that business aviation is a significant catalyst for economies around the world and a large contributor to the local economies that manufacture and support these technology advanced products. So thank you all. And thanks for attending.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time, and we thank you for your participation.